Operator: Welcome, ladies and gentlemen, and thank you for your patience. You've joined Xunlei's Fourth Quarter and Fiscal Year 2023 Earnings Conference Call. At this time, all participants are in a listen-only mode. Please be advised that today's conference is being recorded. I would now like to turn the call over to the host, Investor Relations Manager, Ms. Luhan Tang.
Luhan Tang: Thank you, and good morning, everyone, and thank you for joining Xunlei 2023 fourth quarter earnings conference call. On the call with me today are Eric Zhou, Chief Financial Officer; and [Hu Lee], Vice President of Finance. Now our earnings press release is available on our IR website, which is intended to supplement our prepared remarks during today's call. For today's agenda, I will first read our prepared opening remarks on behalf of our Chairman and CEO, Mr. Jinbo Li, on highlight of our fourth quarter operations. Then Mr. Eric Zhou, our CFO, will walk you through the details on our financial results and wrap up with our revenue guidance for the first quarter of 2024. After the management's remarks, we would like to welcome any questions from you in our Q&A session. Today's call is recorded, and you can replay the call from our Investor Relations website at ir.xunlei.com. Before we get started, I would like to take this opportunity to remind you that the discussion today will contain certain forward-looking statements made under the Safe Harbor provisions of the U.S. Private Securities Litigation Reform Act of 1995. Such statements are based on management's current expectations under current market conditions that are subject to risks and uncertainties that are difficult to predict, which may cause actual results to differ materially from those made in the forward-looking statements. Please refer to our SEC filings for a more detailed description of the risk factors that may affect our results. Xunlei assume no obligation to update any forward-looking statements, except as required under applicable law. On this call, we will be using both GAAP and non-GAAP financial measures. A reconciliation of non-GAAP to comparable GAAP measures can be found in our earnings press release. Please note that all numbers are in U.S. dollars unless otherwise stated. Now the following is the preparative statement by Mr. Jinbo Li, Chairman and CEO of Xunlei Limited.
Jinbo Li: Good morning, everyone. Thank you all for joining us today. we concluded 2023 with a solid fourth quarter results as our revenue exceeded the upper end of our guidance range, and we sustained profitability for the eighth consecutive quarter. Over the past year, we maintained a strong focus on enhancing our existing products and services, restructured our business operations and explore new initiatives to seek potential breakthrough in our business development. Despite more short-term impact of our business adjustments, we're encouraged by what we have done so far and I believe that we're on track to pursue future growth. I look forward to sharing with you our progress in the near future. Let me provide you with some insights into our fourth quarter operations. As announced in our earnings press release earlier today, our flagship subscription business achieved a significant milestone with nearly 6 million subscribers at the end of 2023, and over 73% of them opted for premium subscription and subscription revenue for the quarter reached [indiscernible] representing an increase year-over-year growth [indiscernible]. This can be attributed to a comprehensive marketing initiatives implemented [indiscernible] future acquisitions and retention [indiscernible] users to stay with us. For the robust subscriber page and the continuous effort [indiscernible] users to optimize future and multi-specific marketing campaign, we expect that the positive momentum will continue in the coming days. We'll continue. We're glad to see that despite the intense competition in the industry, our cloud computing business has managed to maintain its competitive edge. In the fourth quarter of 2023, our cloud completed business generated $30.5 million in revenue, reflecting a 4.4% year-over-year decline primarily due to the reduced revenue from certain major clients. However, we have observed an increase in the sales of our hardware products, namely OES, OEC and OEA, which may give users more cash reward with sharing idle bandwidth resources. Meanwhile, Shenzhen launching a wholly owned subsidiary of Xunlei, and operator of our cloud computer business was ranked number three with a market share of 11.8% in the public edge cloud service market. During the first half of 2022, according to the study conducted by International Data Corporation, we will maintain optimistic about our market position in the edge cloud computing industry and maintain fully committed to consistent delivery, highly scalable, secure and cost-effective services to our valued clients. Turning to our live streaming and Internet Value-Added Services, we generated $15 million in revenue, reflecting a significant decrease of 62.5%, this sharp year-over-year decline was mainly due to our strategic downsizing of our domestic audio live streaming business since June 2023. To make up the lost revenue in the domestic market, we are actively expanding our presence in overseas markets. Additionally, our gaming business is experiencing a rebound in terms of revenue, primarily attributable to the implementation of refined operational strategies that have resulted in a higher revenue sharing model. Furthermore, our advertising business is also benefiting from the growth of our subscription services, which incentivizes more users to engage with advertisement. Although gaming and advertising currently make up a relatively small portion of our product portfolio, we're anticipating future growth opportunity in these areas. Going forward, we will be facing both challenges and opportunities in the evolving industry. By leveraging our solid cash reserves and a strong balance sheet, we will continue to execute a disciplined approach, optimize capital allocation efficiency and prioritize investments in key business areas that may bring us best value. We remain committed to creating sustainable and long-term value for our shareholders. With that, I will turn this call over to Eric. Eric will cover our financial results in detail and provide our revenue guidance for the first quarter of 2024.
Eric Zhou: Thank you, and hello, everyone, and thank you again for joining Xunlei's 2023 fourth quarter and fiscal year earnings conference call. I will review the details of our financial results and provide a revenue guidance for the first quarter of 2024. In the fourth quarter, the total revenues were $77.1 million, representing a decrease of 20.4% year-over-year. The decrease in total revenues was mainly attributable to decreased revenues generated from our live streaming business as we've downsized some of our domestic live streaming operations since June 2023. Revenues from cloud computing were $30.5 million, representing a decrease of 4.4% year-over-year. The decrease in cloud computing revenues was mainly due to the decreased revenues from certain of our major customers of cloud consulting services. Revenues from subscriptions were $31.6 million, representing an increase of 26.8% year-over-year. The increase in subscription revenues was mainly due to the increase in the number of subscribers and higher average revenue per subscriber for the quarter. The number of subscribers was 5.99 million as of December 31, 2023, compared with 4.99 million as of December 31, 2022. The average revenue per subscriber for the fourth quarter was RMB36.5 compared with RMB35.4 in the same period of 2022. The higher average revenue per subscriber was due to the continued increase in the proportion of the users opting for our premium membership. Revenues from live streaming and other IVAS were $15 million, representing a decrease of 62.5% year-over-year. The decrease of live streaming and other IVAS revenues was mainly due to the unpausing of our domestic live streaming operations during the year. Cost of revenues were $36.8 million, representing 47.7% of our total revenues compared with $59 million or 60.5% or 60.9% of total revenues in the same period of 2022. The decrease in cost of revenues was mainly attributable to decreased revenue sharing costs for our live streaming business, which was consistent with the decrease in live streaming revenues. Bandwidth cost as included in the cost of revenues were $26.4 million representing 34.2% of our total revenues compared with $26.9 million or 27.7% of the total revenues in the same period of 2022. The remaining cost of revenues mainly consisted of costs related to the revenue sharing costs for our live streaming business, payment handling charges, cost of inventory sold and depreciation of servers and other equipment. Gross profit for the fourth quarter of 2023 was $14.1 million, representing an increase of 6.5% year-over-year. Gross profit margin was 51.9% in the fourth quarter compared with 38.8% in the same period of 2022. The increase in gross profit was mainly driven by the increase in gross profit of subscription business. The increase in gross profit margin was mainly attributable to the increased portion of subscription revenues to total revenues, which has a high profit margin as well as decreased portion of live streaming revenues to total revenues, which has a relatively lower gross profit margin. Research and development expenses for the fourth quarter were $19.5 million, representing 25.3% of our total revenues compared with $19.2 million or 19.8% of our total revenues in the same period of 2022. The increase was primarily due to increased labor costs incurred during the quarter. Sales and marketing expenses for the fourth quarter were $9.3 million, representing 12.1% of our total revenues compared with $8.7 million or 8.9% of our total revenues in the same period of 2022. The increase was primarily due to the increase in customer service costs and a more marketing activities held for subscription business for our ongoing efforts on user acquisition, partially offset by the decrease in employee bonuses accrued during the quarter. G&A expenses for the fourth quarter were $11.6 million, representing 15.1% of the total revenues compared with $9.8 million or 10.1% of total revenues in the same period of 2022. The increase was primarily due to the increase in labor costs and depreciation of Xunlei headquarters building during the quarter, partially offset by the decrease in share-based compensation accrued during the quarter. Operating loss was $0.7 million compared with an operating income of $0.4 million in the same period of 2022. The decrease in operating income was primarily attributable to the increase in operating expenses during the quarter. Other income was $3.5 million compared with other income of $0.7 million in the same period of 2022. The increase was primarily due to the increase in foreign exchange gains and investment income for short-term investments during the quarter. Net income was $3.7 million compared with $1.6 million in the same period of 2022. Non-GAAP net income was $4.5 million in the fourth quarter of 2023 compared with $3.5 million in the same period of 2022. The increase of net income and non-GAAP income was primarily attributable to the increase in other income, partially offset by the decrease in operating income, as discussed above. Diluted earnings per ADS in the fourth quarter of 2023 was approximately $0.06 as compared with $0.02 in the same period of 2022. As of December 31, 2023, the Company had cash, cash equivalents and short-term investments of $271.9 million compared with $264.7 million as of September 30, 2023. The increase in cash, cash equivalents and short-term investments was mainly due to net cash inflow from operating activities and the release of certain restricted cash, partially offset by repayment of bank loans and spending on share buybacks during the quarter. Now let me share with you our fiscal year 2023 financial results. In 2013, we generated $364.9 million in total revenues, representing an increase of 6.5% on a year-over-year basis. The increase in total revenues was mainly attributable to increased revenues from our subscription and cloud computing businesses. Revenues from cloud computing were $123.4 million representing an increase of 3.2% on a year-over-year basis. The increase in cloud computing was mainly attributable to increased sales of our cloud computing hardware devices. Revenues from subscriptions were $119.3 million, representing an increase of 18.7% on a year-over-year basis. The increase was mainly due to the growing number of subscribers, which increased from 4.9 million as of December 31, 2022, to 5.99 million as of December 31, 2023. Revenues from live streaming and other IVAS were $122.2 million, representing a decrease of 0.2% on a year-over-year basis. Cost of revenues were $2.6 million, representing 55% of our total revenues compared with $2.1 million or 58.4% of the total revenues in 2022. Bandwidth cost as a major component of cost of revenues were $112.5 million, representing 30.8% of total revenues compared with $104.6 million or 13.5% of the total revenues in the previous year. The increased bandwidth costs were mainly due to the increased demand for subscription and cloud computing services, which was consistent with the increase in subscription and cloud computing revenues. The remaining cost of revenues mainly consisted of the cost related to the revenue sharing costs for our live streaming business, payment handling charges, cost of inventory sold and depreciation of servers and other equipment. Gross profit for the year was $163.1 million representing an increase of 15.6% on a year-over-year basis. Gross profit margin was 44.7% compared with 41.3% in the previous year. The increase in gross profit and gross profit margin was mainly driven by the increase in gross profit of subscription business and increased portion of subscription revenue to total revenues, which has a high gross profit margin. Research and development expenses for the year were $74.2 million repenting 20.3% of our total revenues compared with $67.7 million or 19.8% of total revenues in the previous year. The increase was primarily due to the increased labor costs as a result of the increased headcount as compared with the previous year. Sales and marketing expenses for the year were $43.5 million, representing 11.9% of our total revenues, compared with $24.8 million, or 7.3% of our total revenues, in the previous year. The increase was primarily driven by the increase in marketing expenses for our subscription and live streaming businesses. G&A expenses for the year were $46.9 million representing 12.8% of our total revenues, compared with $39.7 million, or 11.6% of our total revenues, in the previous year. The increase was primarily due to the increase in share-based compensation expenses, deprecation of Xunlei headquarters building and one-off impairment of servers and network equipment incurred during the year. Operating loss was $1.6 million in 2023, compared with an operating income of $10.1 million in the previous year. The decrease in operating income was primarily attributable to the increase in operating expenses during the year, partially offset by the increase in gross profit of subscription business as mentioned above. Other income was $16.9 million in 2023, compared with $13.5 million in the previous year. The increase was primarily due to the increase in investment income and reversal of certain payables related to a previously disposed business with low payment probability during the year. Net income was $14.3 million in 2023, compared with net income of $21.3 million in the previous year. Non-GAAP net income was $23.9 million in 2023, compared with $29.5 million in the previous year. The decrease in net income and non-GAAP net income was primarily driven by the decrease in operating income as discussed above. Diluted earnings per ADS in 2023 was approximately $0.22 as compared with $0.32 in the previous year. Now turning to our shareholder purchase program. During 2023, we spent approximately $4.7 million on share buybacks. Let's talk about our earnings guidance. For the first quarter of 2024, Xunlei estimates total revenues to be between $79 million and $84 million and at the midpoint of the range represents a quarter-over-quarter increase of approximately 5.7%. This estimate represents management's preliminary view as of the date of this press release which is subject to change and any change could be material. Now we conclude prepared remarks for the conference call. Operator, we are ready to take questions.
Operator: [Operator Instructions] There seems to be no questions at this time.
Luhan Tang: We have a quite question in the queue.
Operator: We will take our first question. Your first question comes from the line of [Qing Wang] from Halo Asset Management. Please go ahead. Your line is open.
Unidentified Analyst: [Foreign Language]
Eric Zhou: [Foreign Language] Thank you [Qing] and she said, congrats on us for achieving the record-breaking membership for the subscriptions and she would like to know some details regarding the specific marketing strategies that were implemented? And she would also like to know whether these strategies are sustainable? In the fourth quarter, our subscription business experienced the significant growth, primarily due to our strategic partnerships and collaborations with some popular online social networking platforms as well as this driving commitments of our own users. We have provided attractive incentives to attract new users and effectively retain existing ones, thereby enhancing user engagement and vastly loyalty. And we expect this positive momentum to continue in the coming days as a result of our continuing and exceptional marketing and efforts. Thank you.
Unidentified Analyst: [Foreign Language]
Eric Zhou: And the question is from [indiscernible] that over 70% of our subscribers are premium members. Could you please if this refers to the 70% of the total number of subscribers were just paying subscribers? And additionally, plan to anticipate a further increase in the proportion of premium members. Approximately 73% of our paid subscribers are premium members. We continuously enhance the structure of our membership by offering options for both premium and expanded subscriptions as well as different duration for this membership. Further, we are continuously improving our operations, iterating our existing features and striving to convert more free users to paying customers while encouraging standard subscribers to upgrade to our premium services. As a result, we anticipate there is still some room for further growth but maybe at a decelerated pace Thank you.
Unidentified Analyst: [Foreign Language]
Operator: Thank you. There are no any further questions, I would like to hand back to management for closing remarks.
Eric Zhou: Thank you again for your time and participation. If you have any questions, please visit our website at ir.xunlei.com or send us e-mails to our investors relations. Have a good day. Operator, we conclude today's conference call. Thank you very much.
Operator: This concludes today's conference call. Thank you for participating. You may now disconnect.